Operator: Greetings and welcome to the CVR Energy second quarter 2010 conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Stirling Pack, Vice President of Investor Relations for CVR Energy. Thank you Mr. Pack you may begin,
Stirling Pack: Thank you Jen, I appreciate it very much. Good afternoon everyone, we very much appreciate you being here for our call this afternoon. With me this afternoon is Jack Lipinski, our Chief Executive Officer; Ed Morgan, our Chief Financial Officer and Stan Riemann, our Chief Operating Officer. Other officers of the company are present as well. Prior to the discussion of our 2010 second quarter results, we are required to make the following Safe Harbor statement. In accordance with federal securities laws, the statements in this earnings call relating to matters that are not historical facts are forward-looking statements based on management’s beliefs and assumptions using currently available information and expectations as of this date that are not guarantees of future performance and do involve certain risks and uncertainties including those noted in our filings with the Securities & Exchange Commission. This presentation also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures including reconciliation to the most directly comparable GAAP financial measures are included in our second quarter 2010 earnings release which we filed with the SEC yesterday after the close of the market. With the preliminary said, I’ll turn the call over to Jack Lipinski, our Chief Executive Officer. Jack?
Jack Lipinski: Thank you, Stirling and good morning all and thanks for joining us. Our results are available to you in a news release we issued last night. So today I would like to add a little color about the release and talk about the special items that affected our results. Ed will then talk in more detail about our financials and after Ed is done, he and I will join Stan Riemann, our Chief Operating Officer in taking your questions. The highlight of our quarter was our successful high yield bond transaction. As the second quarter began, we completed two offerings at first and secondly in senior secured notes totaling $500 million. These notes with a blended interest rate of 9.84% give us enhanced flexibility and stability. These notes replaced the original term loans with which we launched our businesses. The expenses for this refinancing are among the several special items impacting second quarter results. During the quarter, we also completed our Ultra Low Sulfur Gasoline projects. With the commissioning of the ULSG the company has now completed on-time and under budget the last major project in its five year of capital expansion plans. Also want to note that we recently expanded our crude oil intermediation agreement with Vitol Incorporated . The term will now run through December 31, 2012. This is a valuable intermediate credit intermediation facility, which allows us to actively finance the purchase for our crudes. Last night after the market closed, we reported second quarter net income of $1.2 million or $0.01 per share. These results are not reflective of our actual performance, because they are impacted by a number of special items, including the negative impact of roughly $15 million in expenses associated with our bond offerings and related financing costs. In addition, we are a FIFO company, first in first out accounting and as the price of crude and products drop during the second quarter we realized a negative impact of $17.5 million. Unfortunately we had outages on our catalytic cracker and coker that resulted in additional maintenance expense of $3.4 million pretax or $0.03 per share. These outages had the affect of reducing our crude throughputs for the quarter by 350,000 barrels and limited blending and processing Limited blending and processing opportunities as well. You will recall that I mentioned this during our last earnings call. Ed will provide more details on these interactions a little more. Despite the [nordish] and this quarters results, one-time impacts and try for adjustments our liquidities outcome. At the end of quarter we had $53.3 million in cash and approximately $34 million of additional paid cash tied up in excess inventory still to take advantage of the Contango. This morning we had a $110 million in cash in the equivalent of $28 million of cash in excess inventory. And our revolver remains undrawn at $120 million. As we have three diversified complementary business, petroleum and nitrogen fertilizers. As I mentioned in our last quarterly call we had operational issues with our cat cracker and our coke grenade. At that time as a result of the outages we anticipated running between a 108 and 1,10,000 barrels per day for our crude throughput. Actually we improved on that forecast because in June we increased crude runs to approximately 119,600 barrels a day which by the way is a monthly crude processing record for us. For the full quarter, we averaged 113,400 barrels a day increase. Our ability to achieve these higher crude rates resulted from our prior expansion projects and opportunistic maintenance we performed during the first and second quarter. Margins improved enough that we chose run crude at the expense of outside feedstocks and blendstocks. As I said in a number of protocols we don’t run our refinery just with a highest possible crude rate. We run for the best economic returns, in this instance we chose to run crude. As compared to the first quarter we saw an improvement in cracks. We started the second quarter with NYMEX 211 crack at $10.48 and ended the quarter at $9.94. The NYMEX crack averaged $10.95 in April climb to $13.11 in May and June averaged $11.27. What was unusual for the second quarter was that our Group 3 basis remained negative. Our Group 3 basis which is the differential between our realized finished product prices and that is NYMEX averaging a negative $0.15 per barrel. Historically, we would have expected this to be positive number. In July, the basis turns positive to the tune of $1.07 barrel which is a more normal situation for this time of the year today it stands at $0.87 a barrel. Of our total production 45.7% was gasoline and 41.6% for distillate. Putting that in other terms as a percentage of the transportation fuels produced, we made 52.3% gasoline and 47.7% diesel, probably one of the highest achievable distillate rates in the industry. And please keep in mind that our gasoline production is inflated due to blending. Contango attrition during the quarter was a roller coaster. The second quarter opened with a Contango of $0.49 per barrel and ended at $0.54 per barrel. In between it reached a higher 470 a barrel and a lower $0.40. For the quarter, overall it averaged to $1.70. As of yesterday, the Contango stood at $0.42 per barrel. We adjusted inventories to take advantage of the Contango market and since the end of the quarter as Contango has softened, we’ve begun to reduce inventory and hard disk cash. Today, we have 350,000 barrels of excess inventory. And market price that’s $28 million of equivalent cash. An important segment of our petroleum business is crude gathering. During the second quarter, we averaged $31,500 per day. In June, that rose to $32,700 barrels per day. Looking back to last year, in the second quarter, we gathered less than $27,000 barrels per day and we continue to look for ways to expand this business. These fairly priced locally gathered barrels are important to our refinery economics. Parenthetically, we added four terminals on the NewStar Magellan pipelines in the second quarter as well. Let me turn to fertilizers. At the second quarter, our plan ran better than the same period last year, with the gasification unit on-stream 92.2% at a time; our ammonia synthesis look 90.4% of the time and our UAN plant had 89.1%. Had it not been through an average at our third party air-separation plant, on-stream tons have been approximately 6% higher across the board. In the second quarter, we produced 105,200 tons of ammonia. Of that, 38,700 tons were available for sale and the remainder was converted into 152,900 tons of UAN and again for those who are not familiar with it, UAN is urea ammonium nitrate solution. We carry a fairly substantial book of forward orders and changes in current fertilizers prices take time to roll through our financials. We book sales upon delivering that the price is set at the time the orders taken. As I noted in our call in May, we expect net-back prices to improve from the first quarter to the second quarter. We did realize $30 per ton higher prices for ammonia sold in the second quarter versus the first quarter and net debt prices for UAN were up $38 from the first and second quarter. Still that’s far off from the net back prices realized in the second quarter a year ago, when ammonia sold for $351 per ton versus $312 per ton this last quarter. Similarly, UAN went for an average of $249 a ton in the second quarter last year, and this year we realized $205 a ton, with the spring summer planting season complete we are now taking fill orders rather than sport orders. Last year our forward book at this time was within the range of $130 ton for UAN. This year our forward book is roughly $40 per ton higher, our current fiscal book will carry us through the end of the year and we foresee a continuing positive fertilizer market. Now let me take a few minutes and talk about the business and where we see it going in the third quarter and second half of the year. In general, we see the economy coming back in our geography although slowly, we have not been effected as several as refinery and other areas of the country because we serve the mid continent. Agriculture was not as heavily impacted by the recession, the diesel demand there are group three pair two market as remains very stable we’ve seen continued demands from rail and truck and at the same time we have seen the general weakness in the gasoline market which we believe will recover slowly and as the economy improves. Agriculture has been one of the least affected segments in our economy by the economic downturn. After strong plantings in nitrogen fertilizer consumption this past spring we expect a bumper harvest of corn across the Mid-Continent during the call. We see fertilizer market stable to improve. We expect crude [runs] in oil refinery the average about 115,000 barrels per day this quarter. And a lot of that depends on margins and other blending in feed stock up opportunities we may have, we anticipate running more heavy Canadian crude which has come under pressure for a variety of reason. In the first half of 2010, Canadian heavy grades traded in an average of 85% of WTI value, FOB harvesting. In July it dropped to 80% and currently September injectors at heavy Canadian grades are trading just below 77% at WTI further reflecting the declining relative cost of the barrel. In the second quarter we averaged 14,000 barrels a day at heavy Canadian process and today we are processing more than 20,000 barrels. After the major Hurricane in the Gulf we anticipate product spreads will generally soften over the next quarter as I generally do this time of the year. Yesterday the NYMEX 211 $39.25, Contango was $0.42 and the West Texas intermediate, West Texas Sour differential with an even $2. But this reflects the softening of a heavy Sour differential, I think the Sour differential remains tight. We believe that the actions we have taken to restructure are debt lean is well positioned for the future with our successful bond offerings and our new covenant like capital structure they will provide us to the long-term stability and flexibility to counter any volatility on markets. In addition, completion of our five year capital expansion program will make it possible take advantage of anticipated improving margins. And sure, we believe we have taken right steps to benefit from an improving national economy. Now with that I’ll turn it over to Ed to discuss our financial segment.
Ed Morgan: Thanks Jack and let me take a moment to thank everyone for joining our call for today and we do appreciate your continued support in CVR Energy. I’ll start the day with a quick recap of our continued improvement in the company’s liquidity position. We ended the quarter with $63.3 million of cash as we did receive $18.1 million of 2007 income tax refund in the second quarter. We do expect to receive a major this refund which approximates $3.3 million during the course of the third quarter. With the tightening of Contango that we are currently experiencing during second quarter our excess inventory did grow to 458,000 barrels. Excess inventory position that we have flooded with extra cash equates to $34 million of additional liquidity at the end of second quarter. With the tightening of the Contango that we are currently experiencing our plan is to process these excess barrels through the refineries and monetize the portion of this specific inventory. Our total debt in the quarter was just over $500 million leaving us with a net debt position $437.6 million and a net debt to capital ratio 38% which is a slight improvement since the beginning of the year. Maintaining ample liquidity while being able to use excess cash to deleverage our company will continue to be our strategy going forward. Our capital spending approximated $5.4 million in the second quarter and totaled $16.8 million year-to-date. We continue to scrutinize our capital spending needs and we are reducing our approved capital plan by $14 million to $54 million in 2010. There are two primary reasons in the reduction in our plans which includes coming into the budget by $2 million on our ULSG units which we currently online plus the shifting out of capital dollars related to wet gas cooperate project. Built at our approved capital plans does include projects that are approved in this calendar year but these total expenditures may fall into future years. Therefore any additional reduction in our capital spending this year is not the elimination of projects but rather the movement of projects to 2011 or beyond. We are still planning to complete our fertilizer turn around during the fourth quarter at additional of $3.8 million which will be extends that incurred. We had a number of one time adjustments that occurred in the second quarter that I will briefly discuss. Firstly, we did complete our $500 million bond offering on April 6, but the write-off and deferred financing costs in the premiums required to settle our previous debt, total $14.6 million pretax and were a one-time event during the quarter. Secondarily, as Jack mentioned we do account for our inventory on a First In, First Out or FIFO basis. And the volatility and commodity prices during the second quarter resulted in a loss of $17.5 million pretax. And finally the company also had one time write-off which totaled $1.3 million on a pretax basis. But using our statutory tax rate of just under 40%, our adjusted net income reflective of this one-time costs is $21.3 million or again $0.25 per diluted share. Next let’s turn to our operating segments. In the petroleum segment, the realized refining margin excluding the impact to FIFO is $8.40 per barrel or $0.56 less in the second quarter of 2009. Impact to our refining margin this quarter versus the prior do include a higher liquid volume loss of $1.09 per barrel primarily due to higher commodity prices and our crude differential was $0.94 lower in the prior year at $2.90 per barrel. Offsetting this negative impact is the fact that PAD II Group 3 location provided for a stronger basis on distillate products, that was $2.51 per barrel or $2.04 better than the prior year. Our crude differential was lower than the prior year as a direct result of us realizing a higher Contango amount for the full quarter in 2009 versus really the limited benefit we received in June of this year expanding our crude gathering platform is a key strategic initiative for the company going forward as well. In addition, our fertilizer segment realized operating income of $16.5 million in the second quarter which is equal to what we earned in the same quarter of the prior year. Our realized sales prices on ammonia and UAN were probably $44 per ton respectively lower than the prior year The negative impact to our fertilizer gross margin was completely offset by increases in our ammonia and UAN sales volumes of 85% and 6% respectively during the quarter. Overall, our realized product margin in the fertilizer segment had straightened considerably compared to the sales pricing we did realize in the second half of 2009. And as I wrap up and I mentioned earlier during the second quarter of 2010, we did receive a federal tax refund of 18.1 million including interest. This refund was associated with tax losses generated in 2007 that had been carried back. CVR defective tax rate for the six months was approximately 42% on the six month loss. The six month effective tax rate benefit is higher than the expected statutory rate due to the net benefit of the interest income we received in the second quarter on our tax refund. Adjusting out the income tax, the income benefit would have resulted in effective tax rate and the year-to-date of 38.7%. For the year, we still expect giving guidance to a taxrate in the 34% to 36% range. At this point, I would like to turn the call back to Jack for any remaining comments.
Jack Lipinski: Thank you, Ed. Since I pretty much gave my outlook when I was speaking before, probably the best thing for us to do right now is turn it back to Stirling for questions.
Stirling Pack: Thank you gentlemen, good presentation. Jen, we will turn the call over to you now and we’ll take any questions in the queue.
Operator: Thank you. (Operator Instructions). Our first question comes from the line of Steven Carpell with Credit Suisse.
Steven Carpell - Credit Suisse: Can you talk a bit about as you kept growing the collections business and the gathering business I should and how much more, A; first how much you can grow it additionally and what it takes to be able to do that and then secondly I know you’re a bit resistant to give some of the margin information, but can you give us kind of a thought on what that’s been and the additional barrels that are coming on, are they similar to what you had previously?
Jack Lipinski: Okay our mean gathering business has been too good in Kansas. We have grown that pretty much about it for as we can take it. So we are spreading our tentacles out further. So you know Kansas common crude, you can see the postings, it’s generally profitable for us to post and pay for the group base on a posting plus basis, deliver the crude and have a WTI look-alike or similar crude deliver below WTI cost. And again we don’t generally share because of competitors, you know consequences, what we deliver the barrels at, but the best way of answering it is to say that we only gather barrels that are profitable for us to bring home and they range in quality from heavier sour to actually crudes that are lighter and sweeter than WTI with which we blend. We expect to grow this business, we grew it little over 10% year-over-year, more than that we continue to expect to grow somewhere between 10 and 20% a year for next few years. We buy somewhere in the range of 65,000 barrels a day or more of light sweet crudes and if we can do that by gathering them we prefer to do it. It requires some infrastructure. but once you have the infrastructure in the form of term loans in tanks in the back office the incremental cost associated with is spreading our footprint further is fairly small.
Steven Carpell - Credit Suisse: And a couple of bigger pictures, and maybe this one’s for Stan. First off, can you kind of give some thoughts on the fertilizer market in general, kind of pricing has been fairly volatile the last couple of years of course. This quarter wasn’t bad for you. Can you talk about with where NYMEX gas prices are, kind of your latest thought on the outlook there on pricing as we go over the next six months?
Stan Riemann: We are pretty bullish and that’s backed up by what we see in the marketplace in terms of pricing going forward. Current natural gas price I think it’s bounced around the Mid Continent in the $4.5 range and that’s well below where your normal North American producer would have been full price initiatives. But our sale went off this year, much more rapidly this last year and it went off about $40 per ton higher and we continue to see the prices move up. I would expect to see a somewhat similar (inaudible) escalation this year as we saw last year and in that last year maybe we started in 1.30 range, 1.25, 1.35 and we got you on excess of 202 and 20. So I would expect the same type of momentum build in the first and second quarter, the cost of goods and we’ll have good partners, there are some growing issues worldwide which is going to help them the corn price and wheat price which will obviously be reflective in the producer’s purchasing intentions going into the spring planting next year. So, we feel pretty good, we are at and we had last year and we expect to see appreciation in the price.
Steven Carpell - Credit Suisse: How about on contract booking versus, in essence, the backlog versus previous?
Jack Lipinski : And how about on contract, bookings versus essence about what was previous. We haven’t taken any contract for spring, we haven’t taken fill tons. And more probably we are about 20% more tons in our scale block as of today, then what we are last year in the same time August 5. On a physical basis we have physical shipments if we want to do nothing but ship scale orders. We can ship into early January. Now obviously we will get additional orders, between now and then but it’s a book, it historically about what it normally is maybe a little bit better in terms of tons. So there has been some aggressive buy out there. We haven’t seen the retailers pull back at all in terms of purchasing intentions and positioned themselves for this trend.
Steven Carpell - Credit Suisse: Great. And then one final one for you, Jack; we saw this morning in an announcement of one of the East Coast refiners. Given your outlook here on the near term, can you talk a bit and you’ve talked a bit in the past and kind of give your updated thoughts on refining capacity kind of in general? What do you see occur in the next 18 to 24 months now?
Jack Lipinski :  Again I guess yeah, I don’t mind. You saw where the Montreal refinery talks broke off about any potential sale for it, that’s a 125000 barrels base and we heard about your town this morning. It goes back to location, location, location where we are in the Mid Continent and particularly in the Group 3 portion as PADD II. The refineries that supply the area do not supply 100% of the demand. We are somewhat protected because in order to sell the demand, product has been encoded into our areas in Gulf and the Northern Tier. That gives us and our other peers in the area a little bit of leg-up on everybody else. I believe that and I continue to believe that the Gulf Coast and the East Coast plans pulled me under pressure particularly smaller Gulf Coast plans, at some point in time you just have to answer yourself when will Europe starts falling out of bed as well because if you think our margins are East Coast and Gulf Coast margins explore, European margins are benchmark. And as we are also in coordination a great deal of gasoline and not so much distillate but gasoline comes into our market from Europe. So I continue to believe there is going to be more rationalization I think you may see either shutdowns or conversion to terminals of the smaller Gulf Coast and East Coast.
Operator: Our next question comes from the line of Greg (inaudible) with Federated Investors. Please proceed with your question.
Unidentified Analyst : Hi, good afternoon, guys. I had a question for you. In terms of comparing your refining margin adjusted for FIFO versus the PADD II Group 3 2-1-1 crack spread, it looks like there’s a pretty negative differential. You guys reported a margin of $8.40 versus the $11.60 for the group. Can you kind of just maybe walk me through what caused that negative difference?
Ed Morgan: Sure Greg. Couple of items for you. Year-over-year we have substantial increase in our crude cost, our liquid volume loss was higher, I’d mentioned that in my prepared remarks by just over $1. Although we had similarly the strong basis on our part, a blending economics was somewhat more limited in second quarter this year versus last year and that also, our [two on one] mix was quite a bit lighter this quarter versus last year. Those were the two primary impacts.
Jack Lipinski: Greg, just to be clear and I’m not everybody fully understands, when you have a coking refinery, particularly full coking refinery like ours, we convert a portion of our back entire bounds coke or feed, road asphalt, you call it whatever, into lighter products in the coker but at the same time we make petroleum Coke. So every refiner that has Cokers generally have a volumetric loss associated with that so 100 barrels accrued into a refinery does not translate into a 100 barrel fad in our case, its our yield is 94.5% and 95% of the barrel and the heavier the crude you run, the larger that loss, because you end up coking more as a percentage of crude influx. So when you look at these gross margins, there are a lot of impacts, IE, the cost accrued when you actually have the volumetric loss and the cost accrued is higher. That means your volumetric loss is larger. I don’t know if that’s clear but.
Unidentified Analyst : And what causes besides the feed stock, what else causes volumetric loses like the, pumping less volume, does that also impact?
Jack Lipinski: No, no, it has to do with the processing basically if you consider a refinery at just a dig, molecular munching machine, when you take a molecule and you crack it, say it a crack cracker or a hybrid cracker you make more smaller molecules which give you don’t change the math, but you change the volume. And then there are other processes such as alkylation and catalytic reforming and particularly coking that reduce volume as you process coal, so depending on each refinery’s configuration, you will then get a liquid yield based on crude from what you have done to those molecules and generally when you have a volumetric losses not like your throwing up it to the flare you are spilling it somewhere, you are converting the molecules into solid such as for example sulfur and coke.
Unidentified Analyst : Okay, I have questions for you in terms of another question Contango process those are reflected in your gross margins or an offset to your operating cost?
Jack Lipinski: Not they are not realized margins.
Ed Morgan: As would a FIFO loss or change Contango and FIFO and all of that going in.
Operator: Our next question comes to the line of David Shapiro with Aegis Financials. Please proceed with your question.
David Shapiro - Aegis Financials : Okay just on, what was the cash G&A not sure if you released that number earlier in the call?
Ed Morgan: No I don’t think the cash G&A within our press release for three months it was just under $11 million.
David Shapiro - Aegis Financials : Ok
Ed Morgan: I think that’s the overall G&A, David
David Shapiro - Aegis Financials : Okay and that’s a pretty good run rate to use going forward.
Ed Morgan: I talked about it last quarter we talked about our $50 million on an annual basis.
David Shapiro - Aegis Financials : And then in the fertilizer segment, for the past few quarters maybe you can talk about some of the inventory movements in there that sort of altered the cost of goods sold line, its been a little bit volatile here and there just wondering if you can talk about the quarterly movements there?
Stan Riemann: Well this Stan, I’ll talk about fiscal and Ed can back me up as he talks about the cost part. We have been working off ever since June as we came in and this is not unique and you will hear the same thing from every producers. We come out of the last spring with somewhat higher inventories and we’ve been working overall very soon. On top of that we will anticipate good ammonia run this year and we allowed the inventories to build for the quarter. If you remember Ed’s comments of having slightly lower molecules that making it up entirely in volumes that’s what it was. We went into the second quarter with probably a higher ammonia inventories than we normally do and we go through those enabled during ammonia it was a good call. And we start to our fertilizer marketing came and the UAN it is normal year-over-year UAN inventory should be somewhat stagnant but this year did not, it started off higher and drown down towards stagnant level of the 5,000 to 6,000 tons, did that help you or did I answer your question.
Operator: Our next question comes from the line of Kathryn O’Connor with Deutsche Bank. Please proceed with your question.
Kathryn O’Connor - Deutsche Bank: I was just wondering, I missed the Q2 heavy crude number, what you are running? Can you just tell me what that was?
Jack Lipinski: It was about 14 tons of barrels a day.
Kathryn O’Connor - Deutsche Bank: And then you have said that it had gone up substantially in the quarter so far right?
Jack Lipinski: We planned to run about 20 a day based on purchases. We are seeing Wyoming of the spreads and just to everybody is clear when you buy heavy Canadian at $20 of FOB fee You are not getting WTI quality crude at $20 offer a very good reason and that it is pretty tough crude process and it gives you a lower value product. In general, we think depending on the market, at current margins we make an additional $2, $3, $4 a barrel. Maybe not $4, but maybe $3 a barrel more than WTI.
Kathryn O’Connor - Deutsche Bank: More than WTI running that?
Jack Lipinski: Running that barrel right at that price.
Kathryn O’Connor - Deutsche Bank: And then maybe you kind of jumped to my next question, given what’s going on with increased supply from Canada and sort of where you’ve been historically in terms of running heavy crudes, can you just talk about it because I think in the past you’ve only in a certain year run 9% to 11% heavy? Do you think that the change in the market and the increased heavy supply out there is going to bring you guys maybe to a new level in terms of the amount of heavy crude you might run this year?
Jack Lipinski: Well, certainly there is a finite limit because we’re a mid-sour refinery. We typically run to about a 1.2% sulfur blend. One of the questions earlier on gathering, I’ll just jump to it, is the quality is the same as we what we’ve bought historically? One of the things we focus on is buying some of the better grades, so we can run more heavy Canadian in our blend. If you go back over time, you go back four or five years ago, heavy Canadian used trade at roughly 70% to 72% or 73% of WTI. When petroleum prices, crude prices started leading the charge and we went from $70 to $140 per crude. The differential of heavy Canadian did not keep pace on a percentage basis. And actually this is the first time we’re seeing at any point that we’re actually getting below 80% in the near term. I think if you start looking at other people what they’re talking about, the Canadian producers themselves, I think long-term they’re thinking that it should stick around that 80%. I’d be happy to see it below that, but long-term we think it’s going to be about 80% of WTI. Which makes it attractive for us to run 15%, 20% of our crude of our processing as heavy Canadian. Some of the reasons why you’re currently seeing an improvement is we have 6B line going up to Sarnia and Bridges line is down right now, it’s putting pressure on the crude. Basically you have production that was going elsewhere and now market forces are driving the price down. What I find kind of interesting is that the heavy sour is widening, I mentioned in my comments, but the sweet sour isn’t losing at all and as a matter of facts it’s pretty pathetic at $2 between WTI and WTS at an $82 crude level.
Kathryn O’Connor - Deutsche Bank: Okay, so just back to one of the comments you made. So you think that this year could run more like 15% to 20% in terms of heavy crude?
Jack Lipinski: May be the remainder of the year, depending where it’s going, we might win 20,000; 21,000; 22,000 barrels a day, something in that range.
Kathryn O’Connor - Deutsche Bank: Okay, so it’s more a number for the second half of the year?
Jack Lipinski : Yes.
Kathryn O’Connor - Deutsche Bank: Okay, that was helpful. Thank you. In terms of your free cash flow plan, it seems like you don’t have anything really drawing the revolver, and you’re going to generate the significant or a decent amount of free cash flow, especially including that tax refund you got. Are you considering using the ability to take out some of the bonds, 10% of the bonds?
Jack Lipinski : That’s always under consideration. We have some time to do that. Obviously, that’s been our goal, that’s been our stated goal to use our free cash flow to improve our leverage. You could see it from this morning, even though the cash I had this morning is not going to be reflective of what I have at the end of the year because we paid for gathered crude on the 20th of the month and things like that. But, it’s been a long time since this company has seen $100 million plus of cash, plus another $30 million sitting with cash, sitting in inventory. Yes, we have very strong cash flow.
Kathryn O’Connor - Deutsche Bank: So I guess maybe asked another way, is there another project that you can think of that you could use that cash for then, aside from paying down the debt?
Jack Lipinski: We are always looking for small stuff, we may put some money into GAAP earning but that certainly would be big. We do that all the time and it’s just kind of goes as profit improvement projects since we have the infrastructure. We have other projects on the book that we could look at but right now we are just happy sitting on our cash.
Operator: Thank you. (Operator Instructions). Gentlemen it appears there are no further questions at this time.
Jack Lipinski: Thank you very much and we do appreciate everyone being on the call today and we’ll soon be available for any follow-up questions that you may have over the next several days and we appreciate your support for CVR and what we are doing here. Thanks very much and Bye.
Operator: Thank you. Ladies and gentlemen this concludes today’s teleconference. You may disconnect you lines at this time. Thank you for your participation.